Paul Manley: Wow! What a great way to start off our call this afternoon. And good afternoon and welcome to Wrap Technologies Fourth Quarter and 2020 Year End Webcast. My name is Paul Manley and I'm Vice President of Investor Relations for Wrap. I am very excited for you to hear what we have accomplished in the fourth quarter and in 2020, as well as our strategy for the future. This includes an update on our platform and our training here at Wrap Technologies to help lead the world's first responders in avoiding escalation. Joining me on the call today is our Chief Executive Officer and President, Tom Smith; and our Chief Financial Officer, Secretary and Treasurer, Jim Barnes. Following our prepared remarks, we will have a question-and-answer session. You may ask a question at any time during the call. To do so please use the Q&A tab at the bottom of your screen, but do not use the chat button as we will not be monitoring the chat section during this call. As always certain statements made during the call today constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in our earnings press release and in our filings with the SEC. The forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update these forward-looking statements. Now, with all of that, let me turn the call over to Tom.
Tom Smith: Thank you, Paul, and good afternoon everyone. We appreciate you joining us today as I outline our vision to be the global leader in avoiding escalation and how we expanded our technological platform to grow our business. The Wrap's teams' hard work last year has laid the groundwork for an exciting future. Having tested positive for COVID myself in November, along with several other Wrap colleagues since last March, we have continued to navigate these challenges and are working hard to keep our company growing. As the world continues to make its way through the pandemic, we wish health and safety to our employees, vendors, customers, and shareholders. Our thoughts are especially with the frontline heroes, including the public safety officers we work with and support on a daily basis. Thank you. In spite of these many COVID related challenges, we had a strong fourth quarter and managed through an incredibly challenging year by being resourceful, adapting quickly and maintaining a high degree of confidence. Every step of the way, I have been incredibly proud of our entire organization. Our team is talented and performance oriented. We pivoted when we needed and continue to execute during the toughest of times. We are positioned to be a leader in de-escalation, enhanced training protocols and painless apprehension. Our technology platform is powerful and our timing could not be better. 2020 will be remembered for many things, some good and some that were heartbreaking. From our vantage point, there was a collision of public outcry, media attention, and government call to action surrounding law enforcement. We do not see this confluence of action diminishing in the short-term. If anything, we expected to build. We believe we are in the early innings of several trends. Communities are calling for significant police reform. We believe this will come in the form of better training for law enforcement and providing officers better tools to use. There has been significant debate on the police reform. As a matter of fact, a search on Google of the phrase police reform generates 243 million results. That is astounding and as an indication of the level of awareness on this issue. On the political front, there's activity and dialogue taking place. This includes funding discussions, legislation, regulation, and debates on police reform, de-escalation and suggested improvements on how the police should operate in today's society. We have had initial contacted introductions to numerous senators, governors, Congress persons, attorney generals, and insurance commissioners representing the state, local and federal level. We have also been working with a variety of organizations on potential alliances and partnerships. Defunding of police agencies is another topic being discussed across the United States. We were pleased to recently hear the opinion in the United States attorney general nominee, Merrick Garland. He stated that neither he nor President Biden support defunding police. Both believe in giving additional resources to police departments to help them reform and regain the trust of their communities. He also suggested additional resources are needed to better handle mentally ill, suicidal subjects and people in crisis. Today, how we champion de-escalation is directly part of our growth strategy, which is comprised of three areas: education, training, and devices. First is education. Education includes information of the benefits of limiting force and balancing words with actions to resolve volatile matters. It also includes a better understanding of the attributes of mental illness or the behavior of those under the influence of drugs or alcohol. Like de-escalation mental illness has had an all-time high in terms of awareness. There is a heightened level of appreciation across the globe about a mental health awareness and the notion that what works for some situations does not work in all, especially when somebody is mentally impaired or in a crisis. The second area is training and this has been an important part of our strategy since inception. It is important to note that for Wrap training is far beyond just how to use a BolaWrap. Our vision for what our training platform can do is expansive and serves as a comprehensive end to end system. We want to be able to deliver any type of scenario of police officer, member of the military or someone insecurity could face. This could include avoiding escalation, de-escalation using verbal commands, how to handle a mentally ill person with a knife and ultimately to a scenario using a firearm. Our goal is to be part of the reform process and to significantly upgrade the training and education law enforcement, men and women receive. We believe that long-term training will be a significant part of our business. We believe the blessed training systems constantly evolve our deep with information and provide constant learning for individuals, plus it should be easing and entertaining. We believe we deliver that through our selection of advanced training scenarios. We will then put these scenarios into virtual reality, so officers can experience the situation in a realistic, but stimulated atmosphere. Our training portal called Wrap Reality is a very important strategy that was reinforced this past December with our acquisition of NSENA. We were initially attracted to NSENA due to its content library specific to law enforcement and corrections with 47 training modules at the time of acquisition. We believe this is one of the largest libraries in the industry. So far, the integration has gone well, including the full rebranding of NSENA to Wrap Reality. We believe our training system will develop into one of the best in the industry. From a financial model perspective, as you can appreciate, we expect a Wrap Reality products will have higher gross margins that over time will help increase our consolidated gross margins. More importantly, we anticipate our customers will subscribe to our training system, so public safety officers can have constant access to visually see best practices and receive requisite training. The third growth strategy is to have an innovative portfolio of devices, which are effective and do not rely on pain compliance. We expect to be a leader in avoiding escalation. Current tools available to law enforcement use varying degrees of pain compliance to have an effect on the subject. We continue to look at ways for the BolaWrap to be better. More importantly, as the Wrap brand becomes known for best in class products, we believe we can expand our devices and products beyond the BolaWrap. Our research and development team is strong and is helping drive this for our company. Combined the total available market of the elements of our growth strategy is well into the billions of dollars. This space is very fragmented with only a few larger players. We feel we are very well positioned to sell into the total addressable market. From day one, our mission has been bold. We want to see Remote Restraint become standard for every entity involved with enforcement globally. We strongly believe that most incidents can be handled without pain compliance. That is not to say there are times and force is required. Criminals often do irrational things. However, we believe we will make a positive impact with the right balance of education, training and devices. By doing so, we will be adding to the greater good of community and society. As I mentioned at the beginning, we strongly believe we are uniquely positioned to help make this happen. When we do, our business will grow and our shareholder value will increase. Right now, I would like to share a 45 second video highlighting Wrap Reality. As I mentioned previously, the Wrap Reality platform will incorporate not only the BolaWrap, but all of the different tools available to law enforcement. As one example, we will compare one of the training scenarios to the body cam field use from Virginia, Minnesota. When we come back, Jim will provide you with some financial details from our fourth quarter. [Video Presentation]
Jim Barnes: Good afternoon. We have another solid quarter of revenue growth. We achieved $1.4 million of revenue for the fourth quarter and $3.9 million for the full year; both are great metrics representing over 460% growth from prior periods. International revenues represented 64% of total to 2020 revenues compared to 28% in 2019. We believe COVID adversely impacted 2020 revenues. Domestic agencies were affected – were effectively closed our business last April and May, but we adapted our sales and training to the new environment for the balance of 2020. Starting last March we were unable to travel internationally to support our distributors, and COVID significantly impacted logistics of delivering products to the airline freight disruptions. Only due to the international distributor groundwork comma established in 2019, where we able to generate international 2020 sales 11 times out of the prior year. We have sold product into 36 countries demonstrating the breadth of the BolaWrap opportunity. As we look to fiscal 2021, we expect our revenue to continue to grow, while we are experiencing domestic sales growth we still expect international sales to be a majority of 2021 revenues. However, we expect international travel limitations to continue to impact our business for at least the first half of the year. And this could delay helping our distributors close on business in the pipeline. Until the environment becomes more stable, our revenue could still be lumpy. Our gross margins were 33% in the fourth quarter and 34% for the year. Our goal is to improve gross margins through a combination of efficiencies and product innovation. I am very excited about how we built the R&D team in 2020. We are developing new and improved products for the global public safety market. We filed important patent applications in 2020 and are filing important new applications in 2021. Previous U.S. patent filings are now being granted and are issuing. We have filed for international patent protection in 55 targeted countries to protect our IP and these patents are also starting to issue. We are also protecting our trademarks in key countries. With our wrap.com domain name; our stock symbol changed to WRAP and with global patent and trademark filings, we are building a strong IP mode to protect our business. The balance sheet remains exceptionally strong. 85% of our total assets are comprised of cash, cash, equivalents, and short-term marketable securities, which together we refer to as cash. We ended 2020 with $41.6 million in cash. We continue to operate with minimal debt, which is our expectation for the foreseeable future. With the PPP loan, we were able to maintain staffing in spite of significant sales decline in March and April of last year, maintaining our staffing positioned us for the balance of 2020. And we are well-staffed for 2021. In December, our $414,000 PPP loan was forgiven, which we recognize on the P&L in the other income category. We continue to be pleased with our financial performance, especially considering the COVID and several unrest headwinds. We have a terrific team that performed admirably during a difficult year, and I thank them for the professionalism and dedication to our mission. With that I will turn the call back to Tom.
Tom Smith: Great, Jim, nice work to you and the finance team. Now, I would like to give you a business review of the fourth quarter with our operations and marketing highlights. First, as Jim mentioned, our revenue up $3.9 million for 2020 delivered solid growth year-over-year and quarter-over-quarter finishing our fourth quarter with over $1.4 million in revenue. At the end of 2020, there were 460 agencies trained on BolaWrap. Now we're at 520 agencies trained around the world, which has over triple what it was at the beginning of last year. Additionally, at the end of the year we had over 1,500 officers certified to train their departments, which is more than double what it was at the beginning of last year. Trainer, officers and agencies are our best leading indicator of future sales. We were very pleased with our growth here, especially with travel restrictions in place most of the year. Despite there being many law and military bodies focused on enforcement, we are extremely focused on targeting police agencies with our initial sales efforts. There are over 18,000 police agencies in the United States that have over 800,000 officers at the local and state level, plus another 100,000 officers at the federal level. Internationally, we believe the numbers are at least 12 times what they are in the United States. We have conducted demonstrations and training mainly through video conferencing to numerous international distributors and police agencies. We have sold BolaWrap products to 36 different countries to date. As Jim mentioned, about two-thirds of our revenue comes from outside of the United States. We continue to drive our global presence, although we must work smarter today than usual due to travel restrictions caused by COVID. We are excited at what our business could do when traveling restrictions across the globe relaxed. One recent accomplishment I would like to mention was in the United Kingdom. In November, 2020, we received funding from the United Kingdom defense and security accelerator program to develop a longer range BolaWrap. This afforded our research and development team, an excellent demonstration opportunity that will occur later this month with one of the largest groups in Europe, highlighting our remote restraint capabilities. As we have said, the larger the agency, the longer the time it takes from introduction to order, there are several factors which impact timing related to sales activity, including budget availability. Another factor that impacts timing of sales is level of distraction. Anytime there are unexpected distractions for police agencies, pilots and tests can be delayed; sometimes significantly. We saw a significant amount of these types of distractions throughout 2020. Starting with the remarkable number of protests and demonstrations nationwide since last summer, which left police resources spread very thin. This resulted in delays, deferrals and suspended tests for many, many agencies, despite COVID in these distractions; we were able to grow our domestic sales by 180% year-over-year. International had its fair share of distractions, but we have continued to make very good progress around the world with over 1,100% growth year-over-year. The COVID pandemic was impactful internationally to us and travel was severely limited for most of the year and continues into 2021. For example, our Director of International Sales, Jags Gill has been confined to his home in the UK for most of the past six months due to COVID restrictions. Without as much travel, we continue to head using zoom calls, webcasts and virtual demonstrations to many countries. I want all our stakeholders to know that we are acutely aware of the opportunity in front of us, as civilized and rules following society's essential to our collective living. Our entire organization is aligned to deliver our technology platform to our global customer base to make this possible. We can make avoiding escalation as well as de-escalation the norm. I continue to be extremely excited about the opportunity we have to make a material, positive contribution to global police reform and to improve society. I now invite you to watch our two minute fourth quarter video. These highlights are more examples of the traction and numerous field uses we are getting with the BolaWrap. We are proud of each instance and its outcome. After the video, Paul will monitor our question-and-answer session, [Video Presentation]
A - Paul Manley: I hope you enjoyed that great video. We will now move to Q&A with Tom and Jim. We will start off the questions with our two analysts who cover us, Jon Hickman from Ladenburg Thalmann and Greg Gibbous from Northland Capital Markets. Then we'll go onto the questions that have been sent in during the webcast. We will start with Jon Hickman from Ladenburg Thalmann. Go ahead, Jon.
Jon Hickman: How many questions I get to ask, Paul?
Tom Smith: As many as you want.
Jon Hickman: Okay. Let's talk at gross margin. Can you elaborate a little bit on what you can do to improve those near-term, part-term or long term?
Jim Barnes: And we have a number of efforts going on. We're working on production and labor efficiencies for the short-term, and we're working on major product innovations for the long-term. So our longer-term goal is well above 50% for margins, but that may not be achieved for a number of quarters, but we are targeting that and we're working very hard to get there.
Jon Hickman: Okay. So let's talk at – you mentioned our products for public safety. Does that mean that you're working on a device that wouldn't be regulated by the ATF?
Tom Smith: We're working on a number of different projects, absolutely. That's one…
Jon Hickman: I can't hear you.
Jim Barnes: You're muted.
Tom Smith: I am muted. Can you hear me?
Jon Hickman: I can't hear you.
Tom Smith: Can you hear me? I think we're broadcasting…
Jon Hickman: Paul, I can't hear Tom.
Paul Manley: Okay.
Tom Smith: Well, I'm going to go ahead and answer and hopefully everybody else can hear. We are working on a number – I got it now. Sorry, everybody, little fingering it there. So we are working on a number of different projects. And the short answer is it's going to come down to regulation. A lot of the laws with ATF are antiquated, so we'll have to determine once we get those technologies in for a look that we'll be able to do that, but it is certainly something that we are working on for our R&D areas.
Jon Hickman: Okay. Could you tell us about LAPD? What's going on there with that trial?
Tom Smith: Yes. So we're in constant communication with LAPD. And it's our belief at this point now that they're coming out of the lockups. The departments had a lot of things to deal with from the COVID restrictions in California that our belief is that they're going to continue to extend that trial, that now with vaccinations coming into play and with some of those restrictions starting to lift that they're going to be going a little bit back more to normal policing. So our belief is that that is going to be continuing for a while. But until they formally say something, which we expect in the next couple of weeks that's what we're being told. We don't have any further information right now on it.
Jon Hickman: So you're expecting another six months extension.
Tom Smith: Yes, I don't know the exact timeframe obviously until they make a decision, but we do expect them to continue a trial as they come out of these COVID restrictions with vaccines and policing getting a little back to normal. I did hear one quote that they had as many as 500 officers out on leave at any given time due to getting COVID exposures. So there's been a number of things that's impacted the agency, and that's why we believe that in the discussions we're having with them that that will be extended.
Jon Hickman: And then could you – it looks like you burned about $3 million – $3.5 million in this quarter. Can you give us some kind of indication of what you expect to burn maybe through the rest of this year?
Tom Smith: Yes, we think that the burn could move up a little bit mostly in the research and development area. We think we're pretty well staffed in sales, marketing, and G&A, but we do anticipate spending a bit more funds on research and development. We have some very exciting projects that we're working on and we think they're going to benefit the company long-term. So that's where our any additional expenditures will be focused on the research and development area.
Jon Hickman: And one last question, should we anticipate revenues from the Wrap Reality as a standalone products?
Tom Smith: Yes, we do anticipate those revenues. I'm not anticipating many this year as we kind of get the product integrated with what we're going to do and kind of the bigger vision of what we have. As I said, it's going to be well beyond BolaWrap. It's going to be everything officers encounter from training and potentially having to show up in a courtroom to testify to what do you do after you use force to a bias training, to de-escalation training, to avoid escalation to intervention. So there is going to be a number of different things that we're doing. So, right now, we're getting it out with some partners in the law enforcement community, domestic and international, starting to show them what our vision is, how it's going to come together. But in the future, we absolutely expect it to drive revenue and become a big, big part of our business.
Jon Hickman:
[indiscernible] (0:27:20) trained or – but how:
Tom Smith: Yes, I believe that…
Jon Hickman: Is it 500 some?
Tom Smith: Yes, it's over 520 agencies now. So it's – we're really getting a lot of momentum, especially coming out of the COVID restrictions to do these trainings. A lot of them have been done virtually and now we're getting them done in person and the numbers just continue to grow for us.
Jon Hickman: Okay, thanks.
Paul Manley: All right. Thank you very much, Jon, for those great questions. Greg Gibbous from Northland. Please go ahead.
Greg Gibbous: Yes. Thanks, Paul. Good afternoon, Tom and Jim. Thanks for taking the questions. Congrats on a record sales. Some of the recent headwinds like you talked about and potential slowdown in the holidays as well. I was just kind of hoping to – if you can talk a little bit about the dynamics between our international and domestic sales process, specifically we've seen international sales ramp quite a bit faster seeing more early success in those international markets. What's kind of the nature of that discrepancy?
Tom Smith: It's a great question. And when I – in my previous life, when I was traveling overseas, most countries overseas are not as gun hearing as we are here in the United States. So, they are much – they deal with things a lot differently than we do here. So here in the U.S., every officer obviously is wish to go with a firearm, use of force is trained a lot, but you also have 18,000 plus agencies, that's 18,000 decision makers, city councils, city managers, mayors, elected officials, that all are going to have a say in that. Typically when you go overseas, the law enforcement community is centralized where you only have a handful of decision makers. So the process is – the opportunity obviously is 12x the size of the United States, but the process from them even just doing a trial in the beginning is even larger than some of our smaller agencies here in the U.S. And then as they adopt, we used Indonesians as an example many times that agency is one third of the entire size of the U.S., but that agency is typically unarmed a lot of the times. So this is the type of technology that over my 20 plus year career that they were asking for, which is why I think it's the perfect device that's out there. We don't have any real competition in this space. And it's the only tool that doesn't hurt people. So domestically, there is obviously a lot of headwinds going on that Jim talked about with de-escalation, with defunding, with the riots and the COVID and the pandemic, but internationally and domestically, we're seeing that pace pick up. And it's just the international market happens to adopt this quicker because they've been looking for something like this that doesn't hurt. And again, they're not as – they don't use force as nearly as much as happens here in the United States a lot of times that they do in those international locations.
Greg Gibbous: Got it. Yes, that makes sense. And if I could follow-up on the R&D front on Jon's question, I notice there was a bit of a step down in spend sequentially in Q4, but Jim do you mentioned a pick up again in 2021. Just wondering can you talk a little bit about how made you to compare going forward relative to the Q4 quarter.
Jim Barnes: Yes, we think it could grow maybe a third more from where it's at right now in the fourth quarter. So we see those numbers going up. It's partly personnel, but a lot of it is prototyping and we're making a big effort on the international patent filings and other activities for 2021.
Tom Smith: And if I can jump in on that too, we've also been recruiting a lot of personnel in the engineering manufacturing department. So there is kind of two aspects to it. One is engineering efficiency improvements and product improvements for the current products to help get the margins better, as well as new next generation technologies. Obviously, there is R&D going into the new Wrap Reality program. So, there is a number of different areas that we're going to spend and invest in there that's really going to make a difference for us in the future.
Greg Gibbous: Okay, great. And we just wanted to ask a little bit about – if you could comment on how discussions, I guess, are going with perspective departments? Are you hearing anything new in your talks or your conversations have those changed much over the last couple of quarters? And really I was just hoping for any high level comments, I guess, you have on how those conversations have evolved or maybe changed over time.
Tom Smith: Yes. And I think you saw that come through in the numbers that we talked about, doubling and tripling of trainers, trainings, demos, agencies using the device. There was, for me, it was kind of a tipping point. We crossed that 300 agencies using it. That's about 2% of the force roughly that's out there. And really, I think the biggest impact is a lot of the body cams. We were – in the beginning, it was a lot of videos with just demonstrations or showing it in training. We're in the latter half of the year. We were able to get these body cam videos. There is a lot more body cam videos out there that we haven't even been able to show because the departments have restricted us from that. So you'll also notice that a lot of the body cam videos that we're showing so far have been from smaller agencies like Virginia, Minnesota, St. Cloud, Florida, LaGrange, Georgia, Buford, South Carolina. The reason is the bigger agencies. It's a much longer process for them to release that. So I think that has had a huge impact though for officers, law enforcement and the communities to actually see, hey, it's not just something that's showing up in a demonstration, it's making a difference out there in the field. We're having success. It's doing what we've said it's going to do, and it's making a difference. And then they're getting great news coverage on it. I mean, the headlines coming out of the media saying that they saved a life or they didn't have to hurt somebody that really resonates with the current state of what's going on in this country. And with the communities demand, they're asking for law enforcement to do things differently. So the fact that now we're getting the coverage from the media, we're able to show real-world uses of body cam. This isn't a demo. This is how – it didn't become that next viral video. We talk about that a lot that a lot of police don't – they're concerned. They don't want to be that next viral video that's going to get covered all over the media, where all the body cam videos that we're showing, nobody has really seen them before, because they ended that confrontation before it escalated to a higher level of force that people just didn't want to see. It's I've used the old adage. They don't tell you how many planes land safely every day. They only cover the bad incidents while in law enforcement has done a lot the same. They only cover the scenarios that are really bad, and the BolaWraps early intervention prevents that from using it. So now that we've got the body cams, we're showing the other law enforcement. It's now rolled into our demos heavily that we can actually give references for agencies to go talk to those departments. So that's why you're seeing more and more officers get trained, more agencies adopting it, starting their demonstrations and the media coverage to continue. So I would say just literally across the board domestically, we're just really starting to pick up momentum. And then internationally it's – I jumped on a plane, I think the second day I started with this company to go overseas because I knew that was going to be a key market. We've got fantastic distributors, a great distribution network. They've been able to carry on pressing forward with this. And certainly, we understand. The governments are spending money on COVID vaccination and PP&E, but now that that's starting to – the word comes herd immunity is starting to happen or more and more people are – have gone through it, myself included. I think we're seeing a lot of this continue to pick up. And that's why international continued strong last year. And we believe it's going to be a strong part of our business going in through 2021 and even into 2022.
Greg Gibbous: Great. I think that's a good point. And the last one for me is just kind of relates to the acquisition of NSENA at the end of the quarter, I know it came in late, mid-December or so. But just kind of wondering how departments have responded to the addition of that virtual reality training program and maybe how integrations have been going with that technology or that acquisition so far?
Tom Smith: Yes. It's a great question. So we did get it late in the year, and so far internally we've rebranded the entire incentive brand is now all done under Wrap Reality. There was only a handful of users out there that there was really a lot of time spent on content development. We actually been in conversations with NSENA since 2019 as a platform that Dave and I had talked about many times is something that we wanted to get into, because we're already talking to all these trainers, you look at all the data that we put up there and all the trainings and demos and working with the training academies and staff. So we're already talking to that customer; so it was a very natural fit for us to bring that in. And especially if you look at how are we going to improve a lot of these situations that are going on in law enforcement and all the protests? I believe that a lot of that's going to be resolved with training. So we're working with a lot of organizations. We're also doing a lot at the federal level talking with Congress, the Senate, a lot of the agency representation from all levels of the country and law enforcement that they believe virtual reality is going to be a big part of the future. And we got in early with NSENA having 35 law enforcement specific and 47 total, including corrections gave us a real jump to get in there and start to really get our feet wet. And now we're working with advisors to come out with the right platform, so that it's going to be delivered to really make that difference for the communities. And especially for law enforcement, instead of maybe them just showing up once or twice a year, our vision is that they're going to be using this on a much more regular basis because it can be done just about anywhere and give them a real world experience and kind of a continuing education curriculum development platform. So again, it's, we're talking about it a lot. I believe it's going to be a big part of our future, but we don't want to go into it too early or prematurely if the product's not ready. So we're spending a lot of time making sure that it's ready for prime time as the statement I've said so that when we do get it out there, it's going to really meet the needs of law enforcement and we're partnering with them to be able to start using it and give us that feedback and then just make it a better and better product as we get going forward.
Greg Gibbous: Great. Thanks, Tom.
Tom Smith: Any other questions, Greg?
Greg Gibbous: No, I appreciate it.
Tom Smith: Excellent. Thank you. We will go back to Paul.
Paul Manley: All right. Thank you very much Greg. And John and Greg both of you, thank you for your support. I'm seeing a lot of very good questions coming in, I am going to try to combine some of them. We have a lot of them here. So, our first question is going to kind of go back to the acquisition and kind of talk about how big is the opportunity in virtual training and with NSENA?
Tom Smith: Yes. And so we were just talking about that a little bit and there's some great data coming out right now. That's showing it's four times quicker to train with virtual reality, but this is a multi-billion dollar market. So even though it's a large marketing opportunity, there's also a huge cost saving aspect for this, the law enforcement that maybe in less than 30 minutes, you can get done in a training, which would take over two hours in a classroom or some other data that I was reading recently talked about the fact that you're going to have over 200% to 300% retention increase of the material versus just reading it when you go to virtual reality again versus a classroom. So it is enormous opportunity in law enforcement. They're going to be slow to adopt. They're not – they don't do things quick in general, but you can see virtual reality training starting to go into a number of different corporate worlds even in medicine, science, universities, and we hope to make some announcements on some partnerships over the next couple of months on people that we're working with that are going to be pioneers in this space. So I believe it's a huge, huge opportunity for us and its right where we need to be, because it's right in line with our customers that we're already talking to through the BolaWrap training and all the other training that we've been doing on our technology and our platform.
Paul Manley: All right, perfect. A lot of questions coming in on our competition that says, what is your competition? And are there any competing products on the market? And also is the Bola patented it?
Tom Smith: Great question, and I think we had Jim talk about that. We do have a lot of patents and a lot of intellectual property protection, and Jim has been working very diligently with our R&D team on future patents for the new technologies that we're coming out with and getting those files as well as filing a lot of international patents. So we're very strong and very protective of our technology and what we're doing in that space. So there you'll see a lot of activity to continue there. As far as the BolaWrap concerns, there's really no other direct competition with us. We're a complimentary tool with other tools on the officer's belt and other tools that they have. You don't build a house with just a hammer; so we look at this as one tool, but in terms of direct competition, we haven't seen anything out there in the market yet that's competing with us and I think a lot of that has to do with first mover advantage as well as the IP portfolio that we have in place. And then in terms of the virtual reality, that's still a really, really, really young market. So there are other players in that space. That's one of the reasons we jumped into an acquisition was to really kind of get in quickly with somebody who had already been working on this for several years and made a lot of investments upfront. And so we're still kind of figuring our space in there, our way in that space, because there's already a lot of simulator companies, but I think what we're doing today, I feel very confident about how we're going to come in and, and work in that space, competitively.
Paul Manley: Okay. Thank you, Tom. Here's another one; going forward in 2021 and even beyond where do you see the biggest growth and opportunities for Wrap?
Tom Smith: Again, I think in the short-term, meaning 2021, even into 2022, it's going to be the international markets just as it's so much larger than the U.S. We have done so much groundwork to really get the market started. But the domestic market is really starting to pick-up for us. I think I can't understate enough the fact that we're over 2% in terms of the number of agencies out there over 500 now and also the body cam videos. Literally, we're just getting more and more used reports every day. And one of the challenges for us that we talk about a lot is trying to get those body cam uses because so many times the incident ends without it requiring a higher use of force, nobody gets hurt. So they don't pick-up the phone to call us all the time. So a lot of these cases we're finding out about happened quite a while ago, and they're just letting us know because of our follow-up checks through customer service, our sales team, or our training staff. So we're trying to figure out and communicate more often with agencies to try and track that data. But at the same time, we're very cognizant that they don't report everything. And because it's so low on the use of force scale, potentially a lot of the uses we believe are not even showing up for us. And so as we're getting dozens and dozens of these, and we can get those body cams and incorporated into our demos and training, I think that's really going to help just continue to spread the word and continue to build that momentum domestically. But I do still think international is going to lead the way in the next year to two.
Paul Manley: All right, perfect. You kind of just elaborated on that time. It said, we have some great body cams and showing some real Wrap's from officers and kind of why don't we put out any more. If you want to elaborate on that, otherwise we can go to the next one. What does the status of the class action lawsuits against rap right now?
Tom Smith: Those are moving through the system, but normally we don't comment on on-going litigation, but we are going to fight these vigorously. And we think we will prevail.
Paul Manley: All right. We've had a lot of questions on LAPD and I think we've kind of talked about that earlier. So we'll move along. How has the grant writing assistance program going?
Tom Smith: So that program is going extremely strong. In fact, it's been one of the most successful programs through the police [indiscernible] grant efforts that, that we're aware of and our conversations with them. But if I can touch on LAPD again we – as soon as we find out information, we'll let you know, but we're in great communications with them. We talk to them on a regular basis and they all have to come out and say something publicly before we can say anything on their behalf, but we feel very, very good about where we're sitting in, that those trials are going to continue.
Paul Manley: All right. Can you please explain the DASA project that you talked about earlier?
Tom Smith: Yes. So this is something that's normal with governments and the reason it's so exciting is we're real news still in the United Kingdom. So they have a research and development branch it's called DASA is Defence and Security Program. And what they did is they funded us as an organization through our research and development team to develop a much longer BolaWrap, remote restraint system. So they had a very specific requirements, a very specific need. So it wasn't a huge contract, but just the fact that they partnered with us and then we're going to be doing the demonstration of this system later this month. It's a great way that we get exposure within the country, within the government, within the research and development team on future technologies, in addition to the current BolaWrap, so it just raises awareness over there. That's going to help us as we again, try and get the bowler out, marketed with both our current technology, as well as future generations when they're investing in trying to help us to grow and meet needs that they may have that are different from things here in the United States.
Paul Manley: All right. Thanks, Tom. We have – please talk about your current manufacturing facility in Tempe. Do you have enough space to keep up with your demand and potential demand going forward? And can you tell us what the revenue run rate is that you can get to in the facility?
Tom Smith: Yes. So we've talked about this previously that we did invest heavily in the infrastructure for our manufacturing facility, that – that we would be able to grow it adding multiple shifts within the space we're in today. So I think in our investor deck, there's kind of three different program or three different levels that we talk about. Right now we're running a single-shift, which is meeting the demand that we see today. We're obviously focused on efficiencies and product enhancements and improvements and next generation. So as you kind of go through that, we believe in the current facility, it can get us well North of $30 million in a run rate when we add multiple shifts on, in terms of an annual revenue. But we did that investment upfront so that we were prepared for the growth opportunities that we were foreseeing in the future, as well as to have the right quality programs and R&D programs in place to develop next generation technologies.
Paul Manley: Alright. Thanks, Tom. We did talk about our cash position and a little bit with the burn rate with John Hickman. But here's a couple of questions have come in. Our cast is about $41 million. What are you using your cash for going forward? 
Tom Smith: We're focused on building the current suite of our products and our business. So that is the focus of our cash balance is to build business that we have today. As we talked about, we believe we're staffed well in sales and G&A, and we don't expect a huge increase in the burn rate there, but we will spend some money on research and development.
Paul Manley: Alright. Thank you, Jim. Can you talk or even quantify the impact that COVID had or is having on the business? It sounds like we already talked about it a little bit, but can you elaborate a little bit more on that Tom?
Tom Smith: Yes. Certainly, the law enforcement community has – there is the front lines there, the first ones that are getting the vaccines. But over the last year, as we've all learned to adapt with this pandemic we've had to restrict the number of interactions that we have, the number of people attending trainings or demos if they even allowed in-person demos. So it's certainly had an impact. The biggest impact, I think for us has been international because we have not been able to travel. I think you saw on our fourth quarter video, we went to Columbia. That's really the first overseas trip that we had since basically March when the pandemic started. So the travel restrictions internationally are still in-place with the new strain in COVID that came out and locked folks down again. Our referenced Jags, our new International Director over in London and basically he's getting his first vaccine shot today. So hopefully he's going to be able to travel soon, but he's been virtually locked up in his department for the last six months. So it has had an impact; even here at the plant in Tempe, we've had as I mentioned, I had COVID in November and other members of our organization and have it. So we've had several shutdowns in manufacturing just to get people out, get them tested, start the compliance with the CDC guidelines and the Arizona health guidelines. And yet we've been able to keep our growth up. We've been able to keep manufacturing running smoothly and stay ahead of the sales team, although I'm going to keep working diligently to catch them, but it has certainly had an impact. I mean, I don't think anybody in the world right now can say they haven't had an impact from COVID and we're certainly no exception. So I think we've done a really good job of managing it, making everybody aware of what the COVID guidelines are from the CDC perspective, being cognizant when we're traveling that we're communicating closely with the agencies on the number of people that can attend and taking all the safety, precautions, and protocols we can to limit the exposure to our teams. So it it's, it's had an impact, but I think we've navigated it well so far, and we'll continue to do so and, and stay vigilant with it and continue to grow the company despite the challenges that pandemics presenting the world.
Paul Manley: All right. Thank you. Wanting to be very sensitive to everybody's time; I think I'm going to wrap-up the Q&A session here. I know there are some questions that we did not get to and I will certainly get back to you as soon as possible, or please reach out to me, send me an email or call me and we'll get your questions answered. Thank you for a lot of great questions and again, sorry, we can't get to all of them. With that, I'd like to turn the call back over to Tom Smith for his closing comments.
Tom Smith: Thank you, Paul. And I appreciate everybody's time today. Again we have had a lot of questions over 40 different questions that we were not able to get into, so I apologize. We will get back to you on an individual basis. I'd also like to thank everyone who joined us here this afternoon, and hope you felt the excitement energy that we have here at Wrap Technologies. Our company is on a mission to be the global leader in de-escalation and prevention of escalation. And we believe we're the only company in the world, which has the technological platform to deliver both the BolaWrap devices, future generations, and the best training solutions for situations that can end without the use of force. We believe both are critical to the success of our communities and law enforcement going forward. Right now there's an unprecedented public demand, media attention and government call to action on police reform and de-escalation measures. We're moving fast to take full advantage of the need and opportunity that is in front of us and we look forward to being an integral part of that global solution with our technology innovation and, of course, the great team that we have here at Wrap. So again, thank you all for your trust. We really appreciate it. Have a great evening, and we'll look forward to talking to you all soon. Take care.